Sergio Martinez: Good morning, everyone. Thanks for joining today's Santander nine month 2021 earnings presentation. Every quarter our Group CEO, Mr. Antonio Alvarez will address the highlights on the group performance then the group CFO Jose Garcia-Cantera in detail. We'll comment on the different business areas trends before the CEO jumps into the key takeaways and obviously, we'll have plenty of time to answer your questions. Jose Antonio, please.
Jose Antonio Alvarez : Okay. Thank you, Sergio. Good morning to everyone. Thank you for joining us in this Third Quarter Results Presentation. I think the results show the business momentum we are having with another solid set of results in the Q3. The operating income pre -provision profit is growing 11% year-on-year in constant Euros. Revenue was up 8% driven by the rise in volume loans, deposits, mutual funds. And this comes along with the growth in the -- it can not be diluted way, increasing customers and greater the utilization that led to strong but up basis revenue generation, efficiency improvement, and higher profitability. Specifically going to the numbers Q3 '21 profit was around EUR2.2 billion plus 2% quarter-on-quarter in constant Euros plus 5% in current Euros on the back of some Euro average depreciation year in the currency. Year-on-year is a bit different in the quarter, the year depreciated a bit against the basket of our currencies. 9M '21 group attributable profit, EUR5.9 billion, excluding Q1 as starting items 9M '21 underlying profit EUR6.4 billion. The numbers speak for themselves. We maintained, I will call discipline and showing credit quality, they later reflected in our cost of credit below 1%. Regarding capital, there's strong capital generation in the quarter, plus 48 basis points in Q3 enabled us to reach a fully-loaded core equity tier 1 ratio of 11.85% at the top end of our 11-12% target range. We continue to deliver an outstanding growth and profitability. Return on tangible equities to -- at 12.6%. And annual net-asset value grew in the quarter, and increase in the dividend per share rose 6.5% year-on-year. And the board, as you know, has approved a new remuneration policy for 2021 with a 50 payout set at 40% underlying profit, 50% cash, 50% buyback programs, entering distribution approximately of -- in the region of EUR1.7 billion. Euros. In short, we are well on track to outperform the full year, '21 goals that we established at the beginning of the year. And to reach our medium-term underlying return on tangible equity target on, in the region of 13% to 15%. Moving to customers, what great success on the transition has been a key driver of the revenue and net operating income growth. We recorded a steady increase in total customers. And in turn our customers are increasingly using our products and services through contact centers, digital channels and the branches. As a result, digital customers rose by more than 5 million year-on-year. Digital transactions were up 39% year-on-year and grew across all the countries between 20% and 50%. Digital sales as a percentage of total sales is [inaudible 00:03:45] 54% in nine months 2021. plus 10 full percentage points this year-on-year. And with growth in all products across the board, mainly the ones related with individuals, mortgage, consumer deposits, investments. If we look at the last quarter, digital sales reached 57% of the total. Also, and this is important. We are top three by MPS in seven markets in which we operate. Going to -- moving to the group's income statement. Exchange rates had a small positive impact in the quarter, as I mentioned before. But year-on-year the still negative impact, -5 percent -- percentage points in revenue, and -3 percentage points in costs. Looking at the results in constant Euro, revenue grew, particularly customer related revenue. We demonstrated core disciplined and I'm word for recent inflation, certainly inflation is reaching, particularly not only in Argentina at this -- while has been indicated in the last couple of years. Actually in Brazil and Mexico and Chile, we have significant inflation, now in Europe. Additionally, we had a significant reduction in loan loss provisions out today, reflected in the quarter some increase, mainly in the U.S. We delivered a 9 month 21 underlying profit of EUR6.4 billion, 87%+ year-on-year. Notwithstanding [inaudible 00:05:13] items in the third quarter, I recall that we recorded 530 middle restructuring crossing Q1. I will leave you with overview of the performance in region and global business, and our CFO, Jose Garcia-Cantera will elaborate further, very positive performance across all of them. Once again, the U.S. Brazil CIB performance has gone south. The global business is performing very well. Wealth Management and Insurance and PagoNxt are delivering according or better than our expectations that our guidance that we gave to you. Our scores are usual by our geographical and business diversification. Each of our through regions contributed roughly 30% to the Group profit. Europe 29%, North America 29%, South America 30%, and on Digital Consumer Bank 12%. I'll now analyze the quarterly trends in core lines, sustaining revenue growth and AI up 1% posted performance in trading gains in Q3 and the quarter-on-quarter comparison was favored by the single resolution fund contribution in Q2. On the other hand, net income remained stable, impacted by seasonality in Europe and a strong figures in CIB and corporate investment back in business across the board. It will run you through these in more detail in the following slides. Cost control in the context of high inflation and increased expenses related with word activity, higher error loan loss provisions mainly in the U.S. to lessor to stay in the UK. But as both had some provision, releases in Q2. As you already know, in U.S. LLPs tend to have some positionality in the second half of the year. NII was 7% higher compared with nine months, 2020, at 1% quarter-on-quarter. On the back of higher volumes, loans grew 8 billion in the quarter, deposits grew 15 billion, regarding margin management bench of previous year that we saw in general repricing of liabilities, Europe, North America, and Chile, and improving loan spreads in UK along and U.S. In addition, there was a positive impact year-on-year of TLTRO that you know very well. Naturally, no impact on quarter-on-quarter.  Finally, average interest rates remained lower than the nine month 2020, despite increases in Latin America, Brazil, Mexico, and Chile, where the rates went up and recently in Poland. These increases will positively impact NII in the coming quarters. When we go to the fee income, we continue with the recovery from the lows in the second quarter in 2020, the entire range of product showed higher activity levels year-on-year with some seasonality in the quarter, mainly in Europe. You have the figures in July, all the activities show a greater activity. Payment volumes [inaudible 00:08:30] significantly, cars are growing, Car [inaudible 00:08:33] are growing in a significant speed. consumer activity, turn-ins continue to improve with a strong signs of recovery year-on-year. In Q3, mainly the motor finance business has been affected by new baker sales that are affected, as you know, by the shorter-term fishing day supply chain of the OEMs. And while we have a strong nothing you to the strongest, probably the strongest activity we have seen so far in the U.S. at word space. In addition, CIB and Wealth Management & Insurance generated a sharp increase in fee income, representing about 50% of the group's total fee income. Wealth management & Insurance fee grew 11%, underpinned by the significant increase in assets under management and insurance written premiums. CIB fees grew 19% with -- on the back of [Indiscernible] activity in DCM, ECM, and [Indiscernible] income recovery pre -pandemic levels across our footprint except for the U.K. due to regulatory changes regarding [inaudible 00:09:41] drafts since April 2020.  In the cost side, we continue to see -- and this is new significant research in inflation in all countries, particularly in Latin America, in these countries group costs rose 3.7%. In real terms, excluding inflation costs were 1% lower after serving higher IT expenses, this [inaudible 00:10:04] increased activity and labor agreements. Our efficiency ratio improved more than a 120 basis points year-on-year to 45.6%. T hat is a very good number in the industry mainly driven by Europe, we recorded the highest efficiency gains. Europe costs were 1.5% lower making headway in our cost reduction plan, which we expect to accelerate in the coming quarters, increasing synergies. Of note Spain with a 7% increase efficiency in the region. As I mentioned before, stood at 50% having improving seven percentage points year-on-year. In North America, costs increased 8%, mainly driven by technology expansion, the utilization amortizations, and our U.S. $50 million donation to our community foundation in the US that was recorded in the quarter.  Of note were the performance in Mexico, minus 2% in real terms, efficiency in the region stood at 44%. In South America, increasing costs plus 9%, while is greatly distorted by the very high inflation in Argentina. In real terms, cost declined 3% in the region, Brazil -6%, Chile minus -1% and Argentina was flat in real terms. Deficiency in the region stood at 35% with continued improvement. [Indiscernible] the year to consumer bank cost increased due to changes in perimeters is the leasing Company that we bought in Germany, Sixt Leasing, and the joint venture in Italy that we launched this year. Finally, loan loss provisions.  While we have a cost of credit in the last 12 months of 90 basis points in the same period of 2020 was 1.27. Taking into account Taking into account the first nine months of the year only the cost of risk was 0.83 -- 83 basis points, performing better than expected due to lower provisions in most markets, mainly in U.S. the Digital Consumer Bank, Brazil, and Chile, together with the net releases in the UK. The NPL ratio was literally flat quarter-on-quarter -- year-on-year, and slightly lower quarter-on-quarter. Total loan loss reserves is to the 24.5 billion with a coverage ratio of 74%. In addition, I would like to remind you that the majority of the overlay that we recorded last year are sitting on the balance sheet. We expect to make some releases in Q4, on the back of new macros in ADO, which will enable the [inaudible 00:12:41] to reach around 80 basis points by year end. This is our best estimation if nothing changed in our view of the macro scenario.  Finally, on capital, I would like to highlight the strong organic generation in the quarter, 48 basis points. The figure is mainly supported by our [Indiscernible] risk-weighted asset management through securitization mainly. [inaudible 00:13:07] platform dividend accrual on the back of the new dividend policy that you already know. Additionally we recorded 16 basis points related to regulatory under late model-related capital impact. And another 17 basis points, mainly market performance.  All in all, the core equity Tier 1 ratio increased by 15 basis points to 1185 on a fully-loaded basis, very close to the maximum level of our range, 11% to 12%, the facing you have in this slide 1226%. Additionally, I would like to comment on the solid results achieved by the grouping IVA status in accordance with our expectations, we outperformed clearly our peers. That showed that the initial how our business model in Asia [Indiscernible] So when we go to the ratios you have the tangible equity progressing well, EPS is progressing well, Tangible net asset value per share is still progressing clearly. Also RoRWA that is return on risk-weighted assets we reached at 1.8% versus 1% on Euro. As you already know our dividend policy once the ECB lifted the recommendation not to pay dividends, while we the board approved a payout up to 40% of underwriting profit, we are entering distribution for value of EUR1.7 billion, while housing costs have in buyback. Today, around 30% of the buyback program was already executed. So this is where we are in these -- in our dividend policy. Finally, going to ESG.  As you know, the bank is -- has a strong commitments to ESG. Well, we have stood for sustainable and inclusive growth of people on business for many years, and we continue working on improving our financial products to support our customers in the transition towards a low carbon economy. And we have set ambition to be net zero by 2050, being a founding member of the Net-Zero Banking Alliance among all the guidelines requires the bank to set the carbonization targets for carbon intensive sectors no later than September 22.  In this regard, we have set undisclosed the first specific Net CDO banking alliance targets for power generation that is to reduce emissions more than [inaudible 00:15:56] in our power generation portfolio by 2030. In this regard in Q3 there is some -- we joined the partnership for Carbon Accounting Financial. It is important to have general standard to harmonize all the numbers that are being published. And we are committed to reach to have a standard under which we publish all the numbers related with this. As regards to the green finance, well, as you know, we are market leader in renewable energy, we mobilized nine months 17 billion, 51 billion since 2019.  As you know, we are leader in financial renewals, in our core geographies we continue to lead the renewal private finance leak tables year-to-date, number one -- by number of deals like Bloomberg and top 3 by volume in the logic. We have issue on our dong 1 billion grid bonds, 3 billion total to date as part of our sustainable debt plan. On the social side, as having a strong presence and being the market leader in Latin America naturally, our main goal is to financial empowerment strategy in the program that we call Santander Finance For All. It helps people assets to the financial system, setup and growth of micro-business, and also for financial education. Our microfinance initiatives have already been launched in Brazil, Mexico, Uruguay, Colombia, and it was launched in Peru in Q3. We have reached 6.2 million financially empowered people since 2019, of which 1.3 million are micro-entrepreneurs. And we are making progress in the share of our women in senior leadership positions.  When it comes to governance, the composition of the board, diversity in the board, in terms of independence and also gender and diversity in all the dimensions. We also include ESG metrics in our [inaudible 00:18:05] bonus scorecard. In addition, our work in our corporate culture, Santander Way, we are reflected in the results of the year global [inaudible 00:18:16] engagement, [inaudible 00:18:17] with the level of employee coming in reached 80%, considerably higher than the sector average rates. Finally, I would like to point out that our differing ESG initiatives have got significant external recognition along [inaudible 00:18:32]. And I'll hand over to Jose to elaborate over the different business units and regions.
Jose Garcia Cantera: Thank you Jose Antonio and good morning everyone. Like always, I will start with a brief summary of the regions and then I will move into the main countries in the following slides. In Europe, we continue to grow our business while we advanced in a common and more efficient operating model. We had volume growth year-on-year and quarter-on-quarter in almost all markets. And we expect these trends to continue in the coming quarters. These lead to revenues growing strongly at 12% year-on-year. And as Jose Antonio mentioned, outstanding cost management with a strong efficiency improvement, and we also had low cost of risk at 48 basis points. This in turn led to net operating income growth of 30% on doubling our profits. In North America, we had accelerated volumes although U.S. figures as I will explain later, are affected by the disposal s in the year-on-year comparison. We had a strong profit growth year-on-year, boosted by cost of credit improvement mainly in the U.S. and revenue increase. Excluding disposals, revenue -- total income was up 7%. Return on tangible equity in North America was 13%. In South America, we continue to strengthen our regional ties, reflected in solid double-digit customer and volume growth. Profit was up 31%, and return on tangible equity stood at 20%. In the Digital Consumer Bank, we saw strong profit growth in the third quarter, leading to double-digit growth year-on-year as well. Now let me go into the main countries now. In Spain, the stock of loans was flat in the quarter as mortgages offset the decrease in companies. Mortgages recorded the highest new business volumes in the last three years. Results in the third quarter were boosted by strong net operating performance. Revenue rose 11% in the quarter, while cost dropped 4%. Regarding provisions will remain cautious in Spain, but we expect the cost of risk in 2022 to be approximately half of that of 2021. Year-on-year revenue grew 4%, mainly driven by net fee income, especially in transactional and insurance products. Our cost reduction efforts were reflected in a sharp fall 7%, improvement efficiency by 6 percentage points, while loan loss provisions remained stable. This obviously was reflected in the almost 50% growth in profit. We expect balance sheet trends to continue in the coming quarters, which should lead to a stable net interest income, while fee income could expand at mid-single-digit rates. Cost should maintain its downward trend. In the UK, the main trends recorded in previous quarters continued. Net interest margin kept improving based on the positive re-pricing on volume growth. The mortgage book grew 4%. As you can see in the slide, downward trending costs accelerated as our transformation program delivered savings partially offset by IT investments and regulatory related programs. As a result, the efficiency ratio improved 13 percentage percentage points in the first nine months of the year. We recorded another quarter of 0 loan loss provisions. Return on tangible equity in the first nine months was 11.5%. Like in Spain, we expect balance sheet trends to continue in the coming quarters. Assuming no hikes in rates, net interest income should stabilize while fee income would grow at low single-digit rates. We expect to reach a cost-to-income below 50% next year, while the cost of risk should gradually normalize. Brazil showed another -- close d another excellent quarter in terms of volumes, profit, and profitability. We maintained a strong growth rate in new mortgage lending and reached a record high in card sales. We gained 1.6 million new customers just in the third quarter. Turning to results, profit was 30% -- almost 30% higher year-on-year at EUR1.8 billion, and return on tangible equity increased to 22%. We had positive NII performance due to larger volumes as a slight increase in average interest rates, while net fee income also grew in insurance and capital markets especially. We reached record efficiency levels with cost up 1%, while inflation was up 10% year-on-year. Loan loss provisions decreased sharply with a very positive cost of credit performance, which fell to 3.6%, 1 percentage point less than a year ago. In the coming quarters, the structural double-digit volume growth rates should be maintained, which will continue to push up net interest income and fee income. We expect to be able to keep costs growing below inflation and to maintain cost of risk at similar levels.  In the U.S. the work conducted over the last several years allowed us to be uniquely positioned to benefit from current market conditions. In volumes, loan performance was impacted by Bluestem portfolio disposal, excluding perimeter, growth was 2% year-on-year, with auto originations increasing 16% versus the same period of last year. Customer funds showed a strong performance also, growing 13%. Year-on-year performance is affected by Puerto Rico and [Indiscernible] disposals, so I will comment on the year-on-year results on a like-for-like basis. Net operating income increased 17% on the back of resilient NII growth of 7%, strong Auto Leasing results, and fee-income. At the same time, provisions decreased sharply, although we're starting to see signs of normalization.  We're very proud to announce that this quarter and in the U.S. donated $50 million to the Santander Consumer Foundation in order to fund a multi-year program focused on transforming lives of low income students, young adults, and families across the country. This program will target closing the digital divide, and aiding students and families in education programs to boost digital and financial competencies. In addition, in-line with the group strategy to deploy capital to the most profitable business, and to accelerate growth in the U.S. In the third quarter, we announced 2 transactions that we have already shared with you. The proposal to acquire all outstanding shares in Santander Consumer. We don't own, just around 30 -- 20%, and the agreement to acquire Amherst Pierpon Securities. Both transactions are still subject to regulatory approvals. In the coming quarters, we expect high single-digit growth in loans, supported by consumer and CIB. Revenue should continue to grow driven by double-digit growth in IEI, while fees might contract slightly. Cost-to-income is expected to remain at similar levels. In Mexico, lending started to show signs of recovery in the quarter as individuals positive performance partially offset corporate loan normalization. In the third quarter, NII was favored by volume growth and higher interest rates, while fee income performance was impacted by insurance seasonality in the second quarter and lower financial advisory fees. Costs were affected by inflation, IT projects, and new outsourcing legislation. In September, cost of credit stood well below 3%. We expect NII plus fees to grow at high single-digits next year, while cost should increase below inflation, and a cost of risk should remain fairly stable. In the Digital Consumer Bank activity trends generally continue to improve. New lending was 11% higher year-on-year. However, in the third quarter, the microchip shortage hampered production and consequently the new auto market, particularly in the first part of the quarter.  Despite this in terms of total income, September was the best month of the year to date, driving the strongest quarters since 2019. Thanks to a recovery in fees in Germany and a strong consumer lending and flat used vehicle volumes. These together with 3% falling costs and the SRF contribution in the second quarter resulted in a 32% increase quarter-on-quarter in underlying profits. For the coming quarter s, we expect strong cyclical growth in consumer finance demand. C ost -to-income should remain below 40%, and cost of risk should gradually normalize. Turning to the global businesses in Corporate and Investment Banking, we held leading positions in the rankings of the structure, financing in Europe and South America, and DCM and ECM in most countries where we operate. We are one of the world leaders in financing and advising on renewable energy. Outstanding third quarter results shown by revenues which was up 12% year-on-year and the efficiency ratio remained a benchmark in the sector at below 38%. Loan loss provisions started to normalize as well. In Wealth Management, total assets under management increased double-digits -- growth digits year-on-year. Commercial flows year-to-date in private banking on Santander Asset Management reached 14 billion. These flows account for more than 3% of total volume managed. In insurance, gross written premiums rose 5% year-on-year. In summary, total fee income generated, which includes the part accounted for in the commercial networks grew 11%. And total contribution to the group profit increased 16% year-on-year. Now turning to PagoNxt. In 9 months, revenue increased 41% year-on-year, boosted by the strong jump in fees, 45% at constant exchange rates. We are clearly on track to achieve our expected second-half revenue growth of close to 50% versus the first half, and to reach EUR1 billion of revenue in the medium-term. Now, talking about the three components of PagoNxt starting with Merchant Solutions. Getnet continued to deliver a significant growth. The number of active merchants on total payments volume grew across all geographies. Getnet Brazil continued to increase market share in the country, reaching 16% in total, and over 30% in e-commerce.  We are developing an integrated offer for European customers with Getnet Europe. and the integration of wildcards, technology assets and talent acquired last January. All-in-all we reached a total of 1.2 million active merchants and a total payment volume of 81 billion in the 9 months, up 53% year-on-year. In trade our initiatives to support our clients and international trend to expand beyond their domestic markets continue to evolve favorably. One trade already connects our customers in eight countries, reaching 7,300 active customers from 4100 in March 2021, an 80% increase in the last six months. Already has over 15,000 corporate customers, growing over 500 new companies per month. Revenues growing at over 20% versus the first quarter. Finally, in Consumer Solutions, Superdigital began to operate in Argentina in the third quarter. Looking forward, we expect revenue in PagoNxt to continue to grow strongly in line with 2021 which puts us on track to achieve the 1 billion Euro revenue target in the medium-term.  Lastly, we expect to reach more than 2 million active merchants in the medium-term. And to finalize, let me now go over the corporate center and the lagging attributable loss of 1.6 billion in the first 9 months, is higher than last year due to lower gains on financial transactions. Remember that we had positive foreign currency hedging results in 2020. On the other hand, we have no material difference in a [inaudible 00:30:52] costs, and significantly lower provisions due to charges in the first nine months of last year for certain holdings, whose valuation was affected by the crisis. And now let me turn it back to the CEO for his final remarks.
Jose Antonio Alvarez : Thanks, Jose. Once again, I think we are presenting to you a solid results in the third quarter, consistent across geographies and business, and supported by the right metrics. Volume growth that translate into higher revenue, efficiency and [Indiscernible] credit qualities is solid, better quality. We continue to build capital. And finally, our return on tangible equity is now clearly higher than our cost of equity. As a result of these strengths, and following the lifting of the recession of distributor recommendation, we'll resume our dividend policy. And we continue to focus on improving our profitability. While helping our customers in the society in general.  We aim to grow our customer base -- I should say, keep growing our customer base, strengthen the loyalty by improving their satisfaction. Help training, digitalization, support any financing growing these businesses in a sustainable way with a positive impact for the whole society. In short, we are seeing the business amortizations and our strength underpin our great confidence in our profitable growth ahead. For that reason, we are confident to continue to show progress towards our medium term target returns on tangible equity, 15%, as I've said at the beginning of this presentation. Thank you very much for your attention. And now, we will open the call for questions that you may have.
Sergio Martinez: Thanks Jose Antonio. So now we can proceed with the Q&A session. First question.
Operator: Thank you, sir. The first one is coming from the line of Alvaro Serrano from Morgan Stanley. Please proceed, sir.
Alvaro Serrano: Good morning. Thanks for taking my questions. My question -- the first question is on capital and maybe if you can provide some guidance and thanks Jose you've provided already quite detailed guidance on the P&L, but on capital, as we think about 2022 as well. Can you maybe give us some guidance of what remaining headwinds. Are we passed the bulk of the headwinds now for several years, or is there anything remaining and any thoughts on Basel 4, if that's an additional impact or not. And then I had another question on costs. You've given the 1 billion sort of guidance you gave that 1 billion cost cutting guidance in Europe. Costs in the group were slightly higher in the quarter. I wonder if you can give us your thoughts on [Indiscernible] plans, in particular, in the UK and why is it proving so difficult to cut costs in the UK. It feels like it's been years now since we've been discussing the cost plans in the UK, not delivering. What's proving so difficult and do you think you can get to that billion target? Thank you.
Jose Antonio Alvarez : Okay, I will address the cost issues and I'll refer to the CFO, the capital question that he can elaborate in more details. On the cost issue and particularly you're referring specifically to the cost cutting in Europe. We commit to 1 billion nominal reduction in costs in 4 core business: Spain, UK, Portugal, and Poland. We're progressing well in Spain and Portugal. In UK we are a bit behind, but I do think that we are at the running rate this year. We're going to be at a running rate of 600 million nominal cost reduction for next year, while I remain confident that we can reach the 1 billion cost cutting. The lack in the UK is mainly due to some compliance investments that we are making, and these force us to make these investments. But we remain committed to deliver the 1 billion that we told you in -- by 2022.
Jose Garcia Cantera: With regards to capital. So this year, we don't expect any more regulatory touches. For next year, we have a small impact from minorities and we will have some impact from updating the models, but this should be significantly smaller than the products we had in 2021. So we would expect to be at the upper end of the range throughout the year. And Basel III, we need to see the final legislation. We've seen a draught that was leaked a few days ago, with ILM equal to 1. If this is confirmed and the treatment of equity stakes and some other smaller changes, the impact on Santander is going to be very small. As you know, we will not be affected by the [Indiscernible] floor. So with ILM one-to-one and some of the adjustments, I think the impact will be really small.
Jose Antonio Alvarez : Thank you. Our next question, please.
Operator: Next question is coming from the line of Fernando yield Mantovani from Barclays, please go ahead.
Fernando Santivani: Hi. Good morning. Thank you for taking my questions. So the first question comes on Spain NII and how do you see trends, pricing, and volumes going forward? This will be one. The other would be to touch a little bit on the U.S. and how do you see the franchise long-term without the agreement with [Indiscernible] developing. Thank you very much.
Jose Antonio Alvarez : Okay. And I -- in Spain well, let's talk where the market is right now. We see significant activity, good activity in the individual space, mortgage and consumer lending, good activity in this front. Not that good in the corporate sector where the demand for credit is relatively low. So The NII has been affected largely as you know, very well by the level of Euribor. Assuming that the Euribor remain where it is with an NII that is going to be in line with what we had in and what we're show in today. Assuming that the Euribor remains that, naturally we are -- interests are -- the balance sheet with ALCO precision being very small, and what I understand is the precision don't want a sky of rates. On the U.S. specific about the franchises co-signed the franchisees with the agreement of Chrysler. Well, Chrysler declining spikes in 2023, but this doesn't mean that we do not continue to do business with Chrysler. As you know, Chrysler, but they don't finance Company, but it's going to take for a while before they got the I will to underwrite the call it business, particularly in the subprime and near-prime space, where we are specialists and we expect to keep significant part of the business. On top of that, we are diversifying out of Chrysler. Naturally we have now like 3 different providers. One is what we call internally core business, the additional subprime that we generate in our own, that is the bulk of the business. And the other is Chrysler, in which we have the prime, the near-prime, and the subprime, and that comes from creditors. The prime normally we dispose, 100% of them or the majority of them. And we keep normally the near-prime and subprime where we are specialists. Going forward, I do expect some impact from these, but not being very significant. I'm not changed the dynamic of the franchise mainly taking into account that we are procured. We're going to get agreements with other DNA to spin the interoriginate with us, as we're working already with them. Are being traditional, had a unit to other OEMs that may choose to some of the volumes we're getting now for on Chrysler.
Sergio Martinez: Thanks. And on the next question, please.
Operator: Thank you. The next one is coming from the line of Francisco Decalt from Elantra. Please go ahead.
Francisco Decalt: Yes, and thank you for taking my questions. First one is a general question about Brazil. The bank in Brazil is performing very well, delivering [Indiscernible] above 20%. However, the macro risks are increasing with inflation running north of 10%. Concerns on fiscal spending driving long term [inaudible 00:40:06] up. GDP, growth expectations revised down for '22. So in this context, the general question is, how do you see the main KPIs in Brazil in the current macro-environment, mainly the volumes, margins, the costs and the cost of risk? And the second question is about the other revenue lines and if you can explain, what do you -- more details from what you include here in this EUR500 million in the third quarter, particularly in Spain which was much higher than expected on most in the consumer businesses, Digital Consumer Bank and in the U.S. If you can comment also on the nature of these revenues, whether they are recovering or not? Thank you.
Jose Antonio Alvarez : Thank you for your question [Indiscernible] depending on our question on Brazil. Let me make two to starting points. One, we are performing well in Brazil as you recognize on the back of market share gains. We are gaining market across the bottom of mainly in the retail space, credit cards, insurance businesses, mainly those business that while on the lending side. So and there is some mix effect, we're not growing that much at this stage. Now on the corporate side, we are growing mainly in retail. You mentioned what do you call the macro-environment is having higher risk on the back of fiscal components, you and all of this, while the inflation has been growing significantly.  On the back of this, the central bank is increasing rates as you know, and probably continue to do so. And the prospects for the inflation is to come back a certain level, is not different than the expectation we have in emerging markets that the inflation now it's running high, and will come back in at some point. You asked specifically a question how these affects our KPIs going forward, these micro-environment, and the cost of Rice on these things. I do not expect any material impact in the cost of Rice other than the one reflected that comes from the mix. Naturally, the cost of Rice subtotal probably is going to be high on the back of having the retail business growing high double-digit and the Company business grow in probably mid-single year or behind but it's significantly lower than the other. Other than RoTE I don't see a significant impact coming from the side. The critical question here is our capacity to keep the momentum in the business, and being a market leader.  We are market leader in the way we are doing the digital transformation. So what -- our commercial activities is going very well. As a matter of fact, we are about to reach 1 million credit card sales per month, that is a quite a number. Comparing that we were probably one year and a half ago, 2 years ago in half of this, half a million or less. So the growth, we have high confidence in keeping our business momentum, our commercial activity with control of risk. Naturally environment is going to be volatile, because we face elections next year and some volatility may be expected around presidential elections next year. And some measures could be taken, looking at elections next year. On the other revenue lines, mainly Spain, I think is equity method. Yes, so
Francisco Decalt: And then the cost of guarantee and contributions to the SRF in the Second Quarter? So is the volatility associated with both?
Jose Antonio Alvarez : So there are some business in -- that we account by equity method that are going back to normal. And probably you should expect this line to keep growing in a sustainable basis. Because those have business that some of you know, the Merlins in Spain and the likes that you know that, well, given the economic is [Indiscernible] we expect this to keep growing in the coming years.
Sergio Martinez: Thanks [Indiscernible] Next question, please.
Operator: Thank you. The next one is from the line of Adrian Cighi from Credit Suisse. Please go ahead.
Adrian Cighi: Good morning, Adrian Cighi from Credit Suisse. Two follow-up questions from my side, one on Brazil, and one on capital. On Brazil, we see NII increase in the quarter by 8.5% in Euro terms. And my understanding is that the first year impact of rate increases, which we reiterate again, is a negative impact of 63 million from 100 basis points rate increase. This year, the central bankers rate has increased rates by over 400 basis points. Are we seeing the impact of these increase rates in these results, i.e. is the underlying results even stronger? Or are these rate increase impacts somewhat delayed and should we expect them in the coming quarters? We're clearly in the middle of a very aggressive cycle. Any insight of how the timing and quantum of impact from these would be much appreciated.
Adrian Sankey: Sticking with Brazil, we've seen some pretty big moves in FX in recent weeks. Can you update us where your hedging is on this. And briefly on capital, you had a 17 basis points headwinds in the market and others. Can you give us any color as to what drove this, given that there are some relatively limited spread movement this quarter. Thank you very much.
Jose Antonio Alvarez : Okay, let me to take the question in Brazil, I will pass the quantum to the CFO, and I will elaborate also on the capital trend to market. Brazil, you are saying while we had a negative impact when the rates goes up, that's true in the short run. In Guangzhou its minus 63 million or a 100 basis points. We increased forex, you said, we see the rates increasing 400 basis points, that's true. When you look at the numbers and the volumes, what you see is the volumes in retail with very high margins growing close to 20%. Okay, the mix effect is very strong. We translate this into 11% growth in NII. We are missing here like-for-like, we should be growing the margin in the region of close to 20% year-on-year.  We're growing 11% in parts of Chile, due to this increase in rates that you rightfully pointed, that affect us in a negative way. I should say that the 63 million is on one year. Probably you take these quarter-on-quarter is -- the impact is more negative at the beginning and less negative as the time goes, and we are able to re-appreciate assets and liabilities. But the effect that you mention is due to this I pass the question to catch the capital. The market is basically mark-to-market of available-for-sale portfolio. The impacts we have had in Brazil, Mexico, somehow on U.S. So. Yes.
Jose Garcia Cantera: The 3 largest impacts in terms of the available-for-sale portfolio have been Poland, Brazil, and Chile in the region of 500 million each from the beginning of the year. So this explains basically the impact in -- on capital. In terms of the hedging. Well, we continue to hedge the capital ratio. So FX movements do not affect the capital ratio, and we continue to hedge expected profits when we think that the market is running ahead of itself. So now we have some currencies already hedged for next year. And again, this is tactically and it depends on our view of the market relative to what the market expects. But again, the most important is the hedging of capital, which we continue to do. So the ratio continues to be fully hedged. Thanks, and again, next question please.
Operator: Thank you. The next one is coming from the line of Sophie Peter Sands from JP Morgan. Please go ahead.
Sophie Petersen: Yaeh hi. Here is Sophie from JP Morgan. Just thought I'd do follow up questions. Just the first one going back to Brazil net interest income. I get that you have the mix effect. But if I look at the loan growth in Brazilian terms, loan growth was up only 2% quarter-on-quarter in the third quarter. But net interest income was up 5% quarter-on-quarter in Brazil. I was wondering, did you have any increased outgo performance in Brazil or something else that kind of helps the net interest in Brazil or [Indiscernible] purely the mix effect? And then my second question would also be up a follow-up question. I recognize that on the regulatory front, you were saying that next year, the regulatory impacts will be less. But could you just remind us how much all the minorities are, Amherst Pierpon. Is there anything else that we should be aware of in terms of [Indiscernible] or Equity Tier-1 impacts outside the regulatory impacts. Thank you.
Jose Antonio Alvarez : Okay, I'm going to Brazil. The other issue on top of the mix and the different growth, path of growth between retail and corporate business is the ALCO portfolio. So we're naturally -- so the ALCO portfolio now is much smaller, and the NII is much smaller than it was given to the size is smaller and the spread this is more, so those are the two components. The answer of this -- the answer, no more than that. On the regulatory front, I pass the question to Jose.
Jose Garcia Cantera: So we have, this year, we have again, this is subject to regulatory approval still but the Amherst Pierpon impact will be around 9 basis points. The buyback of SCUSA minorities will be 10 basis points. If we get the regulatory approvals before the year-end, we will account for those this year. In terms of pure regulatory charges next year, the change in the accounting of minorities will be another 10 basis points next year, which is the only significant regulatory impact that we expect next year. On top of that again we will have new models which could cost us a bit of capital. Again, when we look at the sum of regulatory plus models next year relative to 2021 will be significantly smaller.
Sergio Martinez: Thanks Filtri, next question, please.
Operator: Thank you. The next is coming from the line of Carlos Cobo Castena from Societe Generale, please go ahead.
Carlos Castena: Hello, and thank you for the presentation. I have a couple of questions. One is on Stellantis, you've already touched on the impact in Europe, but it's been reported that they are in the process of We are sourcing our partnerships to Europe. And I was wondering if you could explain a little bit on that from where are you in the negotiations and [Indiscernible] If you see any risk of losing some of those joint ventures or any of the part of relationship with them. Secondly, is if you have considered a different approach to capital allocation in the group, and if not, why not? Because running with a tight capital ratio versus the market perception could be preventing the stock for really rerating further. Perhaps unlocking some capital somewhere else in the group, even if these units on earnings could help you to run with more comfortable capital buffer that the market may reward. And if you don't agree with that view, why is that? It will be nice -- I know it's a open question, but it'd be good to hear your thoughts.Thank you very much.
Jose Antonio Alvarez : Okay. Taking the questions. The first one is Stellantis the partnerships to Europe. We're naturally talking to them and well we are, I would say, fairly optimistic on continuing the existing relationship and maybe the case that we that we continue to be the preferred partner for them, or I do expect to be -- to continue to be the preferred partner for them in the coming year. So I do not expect any material change from this. If any, I think it should be positive. And on the back of the performance of the [Indiscernible] is not other things. So when we started to do venture with them [Indiscernible] making 250 million net profit. Now, they are making more than 500 million net profit on the back of this excellent, outstanding performance. And we expect this to continue going forward. You mentioned capital, well our view is different. The ball to precision of our target on capital is 11, 12%. Well, you say more comfortable -- uncomfortable with the capital. We're close to the upper end of the range. I'm absolutely comfortable with these for two reasons: When I look at the market, I look at the credit side, I would see the Santander as the lowest in Europe among the largest bank. From the credit standpoint of view, no need. When you look at their stress test, our score in the stress test is by far lower and the stress is adios. That's sustain would be why we should be in the 11, 12% and we are already at the upper end of the range and we plan to remain there. And we will be at the end of the year and next year we will be around this, so that's the view. And Jose, do you want to add something?
Jose Garcia Cantera: No. Just a couple of comments. Amongst the largest banks in Europe, we are the bank with the lowest capital requirements of all. Our MDA CET1 buffer stands today a 340 basis points. So being capital a scarce resource and the most expensive one, I think Jose Antonio has said it all. But again, we are the bank with the lowest capital requirement amongst the largest in Europe.
Sergio Martinez: Thanks for the question Carlos, next one.
Operator: Thank you. The next one is coming from the line of Daragh Quin from KBW. Please go ahead.
Daragh Quin: Hi. Good morning. Thanks for taking my question. One just clarification on the comments you made on the cost of risk into Q4. I think you mentioned a release of provisions and that that would lower the provision charge. If I understood correctly, to 80 basis points for the full year compared to 90 basis points as of September. So just wanted to clarify this. And then just maybe again on capital. You've indicated you're at the high end of your range, not expecting too much change on that in Q4, but with lower regulatory headwinds in 2022. And given your guidance on profitability, I'm just wondering, maybe can you be more specific on why the CET1 ratio wouldn't be moving above that range that you've given, or is it that those higher profits are being offset by higher RWA growth? Thanks.
Jose Antonio Alvarez : Okay. [Indiscernible] the 2 questions. The first one is because of risk, I said in the presentation that we need to update our macros in any -- the overlay that we made last year remains in the balance sheet in the decent range of 2.5 billions has 2 components. One is coming from the macro [Indiscernible] the other one comes from quality of assessment of the different portfolios. When we update the macros in the fourth quarter, I don't have the final number but I guess that the majority of the provision related with the macro [inaudible 00:57:16] in the region of, I don't know, 700 to 1 billion, maybe released in the fourth quarter assuming that the scenario is what we have in mind right now.  And this will lead to the cost of risk in the whole year in the region of 80 basis points that I mentioned before. The second question is on capital. Well, when we look at the capital, we have a range that we and the board, and we think that is the right range for the bank, for the perception we have about the reason that the bank is facing. And remember that looking forward, naturally, you mentioned risk weighted to assets for potential capital ratio going beyond 12%. This may happen naturally because the capital generation given our expectations on return on tangible equity is going to be significant. At the same time we continue to see the bankers we expect to grow. I do expect in the emerging markets to keep deploying capital, growing the business. Well, I don't see any reason why we shouldn't grow in Latin America more than 10% a year. In Europe, probably less so. And on average having a risk-weighted assets growth from the region of 6, 7, 5, higher than the one we have had in the last two or three years.  And well if we are right our return on tangible equity in the region of 13% to 15% allowed us to pay, combine a pay a healthy dividend and at the same time to grow the risk weighted assets significantly more than we did. Finally, we are not growing at this pace, naturally the ratio we'll grow beyond the 12%. And in that case, is up to the board to take the appropriate decisions in relationship with capital. But to me, the capital, we have some regulatory and models themes in 2022. Beyond 2022, Basel III for us is not an issue at all. We don't have impact of the output floor. If the [inaudible 00:59:32] come sequel to one operational, this is not going to be an issue for us and I will say we will have a [Indiscernible] clear sky to navigate in a -- with risk way to task the grow in the region of high -- medium to high single-digit, growing and rewarding, having a dividend policy consistent within policy that our shareholders, particularly retail ones like very much toward paying cash.
Sergio Martinez: Thanks for the question, [inaudible 01:00:02]. Next one please.
Jose Antonio Alvarez : Thank you for your question Daragh, next one please.
Jose Garcia Cantera: Next question.
Operator: Thank you. The next one is from Mario Roberto Gasta from Best Inverse Securities, please go ahead.
Mario Roberto Gasta: Hi, good morning. And my first question is related to NII in Spain. You mentioned that you expect NIS stability going forward. And what are the assumptions regarding cultures embedded in this stability for NII in Spain. Are you assuming that the current conditions will remain in place for the whole year 2022. And then more again a question on the return target. I know that you have a mid-term time guideline for the target. Would it be possible to give some indication for next year perhaps on the road to target, or maybe if you can give us some indication about whether you expect [inaudible 01:01:04] to continue improving versus 2021 year level. Thank you.
Jose Antonio Alvarez : So NII in Spain. The conditions were assuming the current ones. Yeah. So I'm not assuming an increase in rates in the cards, so unless you mean that we navigate more or less on average with the same level that this year. The Euribor one year is the main -- the one who has the largest impact on not only. So in general, as you know, we don't have outgo positions in Spain. So our position to higher rates is pretty strong, probably the strongest we have had in many many years.  So that is what is on the back of my projections sees 2022 in rates being similar to 2021. If those are lower it affects my projection, if those are higher, it will be up big this positive. We're down tangible equity, I do expect if we down tangible equity in 2022 being higher than the one in 2021. It's not our policy at this point to give guidance to you. But, well you can project easily, you see trends in our business and some indications that we gave you, particularly on provision in Spain where the cost of this its going to be significantly lower and Jose already gave you an indication of where we expect to navigate on this. You can make Euro numbers and you get easily into what may be the plan of the group next year. For sure I do expect higher return on tangible equity in 2022 than in 2021.
Sergio Martinez: Thanks, Mario. Next question.
Operator: Thank you. The next one is from Andrea Filtri, Mediobanca, please go ahead.
Andrea Filtri: Thank you for taking my questions on. You've given some detail on the reversals you expect to lever lay provisions. Can you tell us where you expect them. And I may have missed the shift given indications on guidance on where the cost of risk outlook is going in the U.S. I don't know if you could share with us, if you expect any impact from IFRS 17 implementation, and it's on capital. Is the impact from the implementation of the addendum rules over with what you've taken this quarter. And from the important securitization activity that you are having, should we expect a negative impact in the future on NII. Thank you.
Jose Antonio Alvarez : The guidance because of Paris, in Spain, where particular in Spain. Sorry, I don't know you were -- I don't know the mic was off or on. The guidance of course, operational Spain. We spent lower cost of reis in SME, space made these comments to be with quarter that we were taking a broaden view on the SME portfolio in Spain, as you've seen, we've been building significant amount of provisions this year in relation with all the events that have happened around different EMEA. On all the lending-related with SMEs, we expect these to come materially down next year once we feel comfortable with what the evolution of the macro and the expected losses that we have already in our balance sheet for future events, expected events on the credit side.  You mentioned also the U.S. cost of risk. The U.S. cost of risk this year was extraordinary low and this next year is going to go up. It is not going to go up to the levels we've seen before because still the environment is helpful and the situation of the motor industry with the used car price being very high levels probably make us to be more optimistic than what is the average growth cycle for 2022, but it's going to go up, no doubt compared with this year. You mentioned securitizations being negative. Securitizations, we use this traditionally as a tool of funding in the last 2 or 3 years, is combination of funding plus capital. The market is in the situation in which we are issuing -- do I do synchronization on release capital at incredibly low implicit cost of equity, as low as 2% or something like that. Either the market remains in this situation, probably we're going to be relatively or very active in securitizations, particularly on the consumer portfolios where the market is eager to buy these portfolio and impressive capital costs when your securitizations is extremely low. It's not the same for all of the assets. Jose, do you want to add something?
Jose Garcia Cantera: Yes, and in terms of IAS 17. That refers to leases if I understand correctly, and we are not aware that this -- there will be any changes to this. But we will look into it and get back to you. But no changes as far as we know were related to the leasing accounting. Thank you.
Sergio Martinez: So we need to leave it here. Thanks everyone for joining. And obviously the team itself is at your disposal for any follow-up. Thank you.
Jose Antonio Alvarez : Thank you, guys. Take care. Bye.